Operator: Welcome everyone BrasilAgro's First Quarter 2015 Results Conference Call. (Operator Instructions). Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of BrasilAgro management and on information currently available to the company. They involve risks and uncertainties because they relate to future events and therefore depend on circumstances that may or may not occur. Investors should understand that conditions related to the macroeconomic scenario, industry and other factors could also cause results to differ materially from those expressed in such forward-looking statements. Now, I’ll turn the conference over to Mr. Julio Piza, Chief Executive Officer. Sir, you may begin your conference.
Julio Piza: Thank you. Welcome everyone to our first quarter results conference call. You can move to the presentation on page 2, which have our highlights. Net revenues of almost R$51 million, net income 1.6 million, adjusted EBITDA 5.5 million. Estimated development area for was 10,000 hectares and planted area of 82,000 hectares. Those were the highlights and we will go into the details later in the presentation. But moving on page 3, overall scenario, since our last call two months ago none of these markets has changed significantly. You can see that soybean prices in Chicago have come down significantly and have rebounded in the past few weeks. We’re expect to see overall prices next year by assuming the last few ones and (indiscernible) has been already compensated by a depreciated currency so the price in reals has changed to large extent, million dollars [Technical Difficulty] especially for farmers who have liabilities in dollars. But nevertheless some price recovery already which is a good thing but we do expect a tough year. And this will reflect on our operational decisions all the way we’re planning for the year that we start right now. On page four, this is land prices in Brazil, haven't had any reaction to the changing prices. As I’ve said before and I continue to believe there is some regions in Brazil will sell for more. Some regions in Brazil will sell for less for this adjustment in prices because they have actually behaved differently in the last few years. So do expect some adjustments especially in some regions of Brazil. But it hasn’t happened yet. Say that liquidity in the market is a real dry right now so many deals going on but it looks like some adjustments especially in that two regions they have actually experienced a significantly depreciation. And next page, page 5, you can see our planted area of evolution and here I go back to this slog in [ph] prices. We have decided to be very secure this year and we like to see where first year (indiscernible) that we know that have lower productivity, that have higher volatility and they have decided not to burn those. The year in of course, (indiscernible) any type of coverage so you can actually keep on developing the soil, keep on improving organic matter, keep on preparing the soil for next year but we have decided not to plant this year given that low prices would surely deliver negative margins and we don’t think it's a sounding decision to actually go ahead and do it. But also it's important to say that our development process continue to go on, that is the part on the right side of the chart. So we expect to reach a 110,000 hectares to be developed. We have already initiated that development, it is going to happen. The extent of it will depend on how things going for the year. As we see those rebound in prices being confirmed and expect the next year to adjust totally. We are going to finish the CapEx on those 10,000 hectares but if situation worsens we are going to start the CapEx or we can actually be better prepared. Since we’re going to start the CapEx or we can actually be better prepared. So, we have an adjustment in planted areas next year. So we have requested few areas increased (indiscernible), so we have a better mix of those which should help us increase profitability up. But the development will continue to happen. The level of it will be adjusted as the year grows [ph]. On page 6, you can see the level of development of each property of ours and is our best understanding, it doesn’t have to be perfect, it is not perfect but roughly we’re talking about half of it is still to be developed, 17% developed and 33% under development and it is broken down by far. I like to point out that Nova Buriti hasn’t been developed yet and waiting for impairment and we have also Preferência farms which is fully developed already and the other farms similar this way. But if you look there, you just see a great land for us to develop and also third of portfolio that also will improve as year goes by. On page 7, our outlook for next year in terms of hedge position, on the left side have soybean physical sales and we have the roughly 70% of our soybeans committed and earnings we have secured and negotiated logistics, we have negotiated for the premiums. We took advantage when soybean prices went down significantly around $950 (indiscernible) and essentially was not that favorable to start negotiating physical volumes to secure interest in premiums at board and we did so in interest in logistics at a very decent prices and we have, I only showed you the physical part and on the hand that’s the price, we have only 20% of it's sold, 10.6 that’s our average and even lower on the U.S. $100 hedge, only 6.6% has been sold already. [Technical Difficulty]
Unidentified Analyst: So I’ve two questions if I may, the first is about land prices in Brazil in 2015. We have already begun to see in some in the presentation a recovery in commodity prices represented by soybean in the presentation as well as some BRL depreciation. So I would like to know if there is still some opportunity for land price reduction this year will that -- will that scenario be still be changing in your views? And then if I may on the second question about the (indiscernible) landfills specifically. The release is very clear about which stage of development each of the company farms is in and I was wondering if there is a defined hurdle for when each farm would be ready for a divestment, if the entire farm will be divested or if you can divest portion of the farm as well as portion become mature individually? All of these questions. Thank you.
Julio Piza: So Paul, we will start with the second one and then we can move to the first one, as I told you the perception of how the farms are developed, better we look into it and say you know what we believe that’s done or due diligence or something else should be done. So that is our best understanding. So we have 17%, and our best understanding that the farms -- or the hectares are already being they could be sold in theory. That’s as to what, you know those farms shouldn’t be in the market and we’re negotiating some of them, some of them are not. There is a combination between the way we see how developed they are, how the market is in the region and the market is in general. Of course even though if the farm is fully developed in our perspective but the market is pretty bad, we shouldn’t be selling the farm or as it has happened before sometimes the farm is not yet fully developed but it has great interest in it. We might be able to do a great sale as we did in the past. For instance we have being, in the last couple of years we have been selling pieces of (indiscernible) which is farm that is fully developed. So every year we sell 500 hectares, a 1000 hectares so we cut it in pieces and start selling. So yes we have done whole farm, we have done pieces of them and I see us doing more, it's just a matter of time. If I look back in the last 24 months we have done over R$200 million of sales, so I expect the company to continue to do so.
Unidentified Analyst: On the first question, did you mean (indiscernible).
Julio Piza: I think the market is being pretty volatile, it went down, if you look into prices for next year it was as high as $12.80 per (indiscernible) went down all the way to 9.40, now it's rebounded to 10.40, the exchange rate has changed significantly it's was at 40 plus now it's 70 plus for July next year. So it's being incredibly volatile. So nobody knows for sure what the price is going to be but it's going to rebound, but I do believe the composition of lower soybean prices and higher exchange rate even though delivers the same revenue or could deliver into similar revenue, we don’t increase our cost before pressure emerges, so that’s the reason why I do expect to see some land prices adjustment especially in regions that have benefited the most in the last few years from high prices especially for instance high corn prices that actually made some regions extremely valuable. So I do expect to see some adjustments. The level of it, we really depend on how the whole market plays out the next few months, the harvest in U.S. and South America, can't believe of what is expected of it. We’re going to see how dramatic that adjustment is going to be, but some adjustment I do expect to see.
Operator: Thank you. Our next question comes from Rodrigo Mugaburu with Morgan Stanley.
Rodrigo Mugaburu - Morgan Stanley: I’ve two questions, one on the 10,000 hectares that you’re targeting to develop, is that on Brazil or that includes Paraguay, and then the second one how do you see the market in Paraguay? Do you think that we could see some more farm sales from Cresca in Paraguay, do you think we could see some more farm sales from Cresca in the '14 - '15 season? How are you seeing the market there? Thanks.
Julio Piza: I will say on the 10,000 hectares say roughly 30% to 40% would be Paraguay, the rest of it will be Brazil. I think that diversification has been paying off, I see Paraguay a much stronger market than in Brazil right now especially because the region is pretty much cattle and so the market is pretty actually hot in there. So I wouldn’t be surprised if we have more sales in Paraguay, I wouldn’t. It's not something that we’re actively pursuing as we have to do it but I wouldn’t be surprised. I think the market is somewhat different than Brazil, I would say much less affected from all the bad mood that we have in Brazil right now. So it's not something that we’re actively pursuing but I wouldn’t be surprised if we have farm sales in Paraguay during this year.
Rodrigo Mugaburu - Morgan Stanley: And just a quick follow-up, and if you do, do you think that with proceeds you would buy more land in Paraguay? You can still find cheap undeveloped in the region to do some arbitrage there?
Julio Piza: That’s for sure. Paraguay has some great opportunities throughout the country. Of course we have to be careful about logistics, so have some great regions in Paraguay and have very poor logistics. So we have to watch out for that. The Paraguay has a great red region to develop. So yes there are plenty of opportunities in Paraguay so we feel there could be more acquisitions and part of those sales as well. The diversification is paying off as we have different region, different market dynamics, different price structure and as I said it could happen both ways, both sales and acquisitions.
Operator: Our next question comes from Ravi Jain with HSBC.
Ravi Jain - HSBC: My question was basically your growth strategy in Brazil, do you expect until the expected correction in land prices, there won't be too many land purchases you think from you in Brazil or do you think that you will continue to do some kind of partnerships JVs to expand your land reserve in Brazil?
Julio Piza: I see our strategy in Brazil depending on how the market adjusts. As was the reason for the last few years we have seen land prices moving to levels that is very high. I do expect especially undeveloped land to adjust down much more strongly than developed ones. So I do believe if the market stays as it is that, a window of opportunity for acquisitions will open in the next 12 to 18 months and the company is going to be ready to step in and actually do that. So as I mentioned that developed land liquidity is not great now. It was much better before, yes we have some juice but you know fewer but the market for undeveloped land in Brazil that is pretty much dried up. So that is the things that we would like to see. So I do believe in the next 12 to 18 months, a window of opportunity will open and we’re going to be there to do it. Whether it's for JV, direct acquisition, the lawyers will tell us what to do when the moment comes.
Operator: (Operator Instructions). There appears to be no further questions at this time. So I would like to turn the conference back over to Mr. Julio Piza for closing considerations. Mr. Piza you may give your final considerations now.
Operator: Thank you everyone for joining us today. This is our quarter of preparation and when we think about what's going to happen in the next nine months, when we’re going to be pouncing [ph] and harvesting everything that we do. So as I said, it's a year to be cautious to really hold your hands tight, your cards even closer to your chest to see how this is going to turn out to be, how the year is going to turn out to be. I do believe that it is going to be a tough year from margin perspective but also it's going to be a year of opportunities especially for company such as ours that have a strong balance sheet and a capacity for growth. So expect to see you again in three months when we’re going to be discussing all the plans that we will accomplish in the next few months. So thank you everyone for joining us and see you in three months. Bye.
Operator: Thank you, sir. This concludes BrasilAgro's 1Q '15 results conference call. You may disconnect your lines at this time. Take care.